Mar Martinez: Good morning and thank you for joining us today. Welcome to the Full Year 2023 Results Presentation, which will be hosted, as always, by our CEO, Jose Bogas; and the CFO, Marco Palermo. Following the presentation, we will have the usual Q&A session open to those connected on the call and on the web. Thank you. And now, let me hand over to Jose Bogas.
Jose Bogas: Thank you, Mar and good morning everybody. Let’s start with the highlight of the period. Although last year was marked by a sense of gradual normalization, we still saw the negative effects of the extraordinary market and energy conditions since in 2022 that still impacted this set of results, which are barely comparable to the outstanding results obtained in the year before. In this context, like-for-like EBITDA, which excludes the retroactive gas arbitration award and the provision for the digitalization process amounted to €4.4 billion, 18% lower than in 2022, heavily affected by negative delta of nonrecurring and extraordinary impact, which we will detail later on. FFO reached €4.7 billion with an outstanding recovery, thanks to the successful actions undertaken throughout the year and the reversal of the dynamic that affected the working capital evolution last year. And finally, Endesa will propose for approval at the next General Shareholder Meeting, according to our dividend policy the distribution to its shareholder of €1 per share to be paid in 2024, which represent a 6% dividend yield. On Slide #4, you can see – you can clearly notice how the ongoing investment effort entail a steady progress across our business segment main KPIs. Gross CapEx amounted to €2.3 billion, in line with the previous year with 72% devoted to our main strategic pillars that are renewable deployments and network digitalization. Our renewable capacity expanded to around 10 gigawatt by allocating 34% of total gross CapEx, which meant that emission-free output reached 80% of total mainland production. Our customer base in the liberalized market increased to €6.9 million, reinforcing our leadership position in the supply sector, resulting in a growth of fixed-price power sales by 2 terawatt hour. Investment in resiliency and quality of our grid amounted to 40%, leading to an improvement of our main distribution business KPIs, the most notable being the 5-minute reduction in interruption time. Likewise, self-consumption connected to Endesa’s distribution network more than doubled in 2023 to 250,000 active suppliers, leading the number of connection implemented in Spain, thanks to several measures to ease the processing and improve customer information. On Slide #5, we summarize how market dynamic evolved year-on-year. European Gas Reference remained almost flat along the year, consolidating the €40 per megawatt hour, down by 67% year-on-year, mainly due to the massive influx of American gas to Europe, coupled with the mild winter and high gas storage levels. Meanwhile CO2 was very volatile throughout the year, although on average it performed quite similarly to the previous year. In Iberia, commodity price evolution and the still weak demand resulted in an average electricity spot price down 48% versus last year. This decrease would amount to 62% if we consider the implementation of the cap on gas for electricity prices in both years, which had hardly any influence during 2023. Mainland demand remains strongly influenced by the combination of the weak industrial demand and the unusually mild temperatures as well as the increased expansion of solar cell consumption. This year did not lag for far behind 2022 in terms of the high degree of regulatory activism in the energy sector, as can be seen on Slide #6, where we summarize the most recent outcomes both at European and Spanish level, following the high price volatility of the last 2 years and in order to provide the energy market with a greater degree of stability the European Council, European Commission and Parliament reached a provisional agreement to reform the current electricity market design. This reform, while leaving and change the basic functioning of the market, focuses on the use of several instruments such as the promotion of PPAs on new renewable generation, the establishment of 2-way contract for difference on new generation facilities, and the agreement to simplify the capacity remuneration mechanisms. In Spain, the government approved last December, first of all, the gradual energy taxes reintroduction as well as the – sorry, as well as the extension of current renewable deadlines. Regarding the 1.2% extraordinary revenue tax, amendments will be to incorporate deductions linked to the investment. As for gas clawback and gas cap, both measures expired at the end of 2023. And finally, on distribution, the CMC recently announced the launch of the regulatory work revision in December 2024 that provides for the methodology update of the financial remuneration rate calculation to adapt it to the challenges of the energy transition and enable efficient investment in networks. On Slide #7, it should be noted that we completed the closure of the last mainland coal plant, an important milestone resulting in a 27% reduction in our thermal installed capacity by year-end to 3.8 gigawatts, all of them CCGTs. Likewise, our focus remains on enhancing mainland installed capacity through renewable expansion. Over the past 12 months, we added approximately 600 megawatts, bringing our total installed capacity to around 10 gigawatts. As a result of the above, CO2 free sources now constitute 78% of mainland capacity. Total output decreased by 7%, mainly as a consequence of the normalization of thermal load factor after last year’s extraordinary requirements. In turn, renewable production increased 18%, meaning that 80% of our production now comes from CO2 free technologies. Hydro production increased by around 40% with a significant boost in the last quarter, better hydrological condition allowed for a relevant improvement in our reservoirs, which are now slightly above the previous year. And finally, regarding the partnership model, we are now in the final phase of the process for solar capacity in operation. Now, on Slide #8. In 2023, we have been able to consolidate our liberalized customer base, where we have close to 7 million customers, enabling us to lead the Spanish market in a context of record high churn rate levels. Liberalized power sales remain stable with B2C sales increasing 3%, offsetting B2B sales reduction impacted by the lower industrial activity, remarkable operative performance in the offer of other services to customer where we kept growing both in the installation of recharging points and in self-consumption. Deep diving on our integrated strategy on Slide #9. Sales to liberalized customer within the scope of our free power margin amounted to 75 terawatt hour, out of which fixed price sales increased by 3% with around 75% of these sales backed by our CO2 free generation. The robust growth of our free power margin [indiscernible] plus 24%, standing now at €52 per megawatt hour, primarily derived from the following factors: First, the improvement of supply margin to a level around €13 per megawatt hour, benefiting from 2022 second half re-pricing, although penalized by higher ancillary service costs. Second, positive result obtaining the management of our sole position. And third, slight increase in generation margin where the improvement in renewables due to higher volumes and better prices compensate the reduction in thermal after the extraordinary activity of 2022 and the decrease in new affected by lower production and higher variable costs. Looking ahead, thanks to our hedging strategy, we have already secured 2024 estimated inframarginal output, while for 2025, 84% has also been locked in and 53% in 2026 with an energy price reference in the range of €65 to €70 per megawatt hour. If we factor the inertial rollover of the entire residential portfolio, we will attain 94% output hedged in 2025 and 80% in 2026, significantly reducing the exposure to power price volatility. Now on Slide #10, let’s focus on the gas business. Country level demand dropped by 10%, while our overall gas sale decreased by 6%, largely explained by the normalization of CCGT load factors and a sharp decline of industrial demand in the Iberian market. That unitary margin decreased from the extraordinary margin of €6.1 per megawatt hour in the year 2022, positively impacted by the gas contract last year to a negative 2023, essentially due to, first, the impact of the above-mentioned conventional demand reduction compared to contracted volumes that resulted in a negative effect. And second, the inefficiencies that arose in the hedging strategy due to the exceptional and temporary mismatches between TTF and PVB. Both items can be considered exceptional and we do not expect them to be repeated. The absence of these extraordinaries, coupled with the high visibility in the volumes hedged, allows us to foresee 2024 margin recovering from previous year exceptionality. And now, I will hand over to Marco, who will detail the financial results.
Marco Palermo: Thank you, Pepe and good morning everybody. As we have already commented, the results evolution was strongly affected by year 2022 with high record results, followed by 2023, which was heavily penalized by the market context and regulatory interventions, such as the gas clawback threshold or the 1.2% extraordinary revenue tax. As previously stated, EBITDA reached €4.4 billion. That is an 18% lower than previous year on a comparable basis. While net ordinary income affected by the retroactive gas arbitration award came in around €1 billion, that is 60% lower than previous year, explained by the lower EBITDA, higher D&A, and the increase in financial costs. On the other hand, FFO had an outstanding performance, reaching €4.7 billion, €3 billion up from the previous year, mainly explained by the recovery of the dynamics that affected the working capital evolution last year, as we will see later on. Turning now to the key drivers of EBITDA evolution. I’m now on Slide 13. EBITDA like-for-like decreased by 18%, negatively impacted, first of all, by the delta of non-recurrent items for €322 million due to the 1.2% extraordinary levy negative impact in 2023, and the social bonus positive effect booked in 2022. Both items recorded in the structure segments in gray color in the chart. The generation and supply results decreased by 19% versus previous year with a significant deterioration in relative terms of conventional generation, in particular, gas margins, as I will detail in the next chart, and partially offset by the renewables increase, thanks to higher volumes and better prices and the positive performance in supply. Networks reached €1.8 billion, quite in line with 2022. Moving into a deeper analysis, we are now on Slide 14. Generation and supply EBITDA reached €2.8 billion, down 19% compared to the previous year. First of all, bear in mind that EBITDA comparison must consider the non-recurring item for €113 million booked last year. The numbers also include a robust increase of the free power margin by €727 million, as Pepe has just commented, with all the businesses moving part making a positive contribution. Gas business shows negative evolution for around €840 million when compared with last year outstanding results. This negative performance is explained by the inefficient hedgings in some derivatives, as mentioned before, the impact of lower-than-expected demand this year versus the contracted volume and the higher sourcing costs. Other margin decreased by €350 million, mainly explained by the negative net impact of mark-to-market in power and gas and by a normalization of non-mainland business following an exceptional 2022, which benefited from positive resettlements. Finally, a slight increase in fixed costs, mainly driven by inflation and higher activity. On Slide 15 now, distribution EBITDA saw a 3% improvement to €1.757 billion, owing a positive gross margin delta recovering from last year €180 million negative one-off, which was partially compensated by lower regulated revenues due to RAB decrease and previous year resettlements with a non-recurrent nature, and a slight increase in fixed costs, mainly driven by negative provisions update. I’ll turn now to Slide 16 to continue the analysis of the results below EBITDA. Net ordinary income declined 60% from the prior year to around €1 billion, reflecting the dynamics observed at EBITDA level and impacted by, first, the increase of D&A and provisions by €254 million year-on-year, mainly due to the investment effort carried in renewables, distribution, and retail, higher impairments in non-mainland generation assets and the increase in bad debt figures due to a more cautious approach in view of the market and economic scenario. And second, net financial results increase of €380 million, driven by higher financial costs due to the worsening of interest rate environment affecting the cost of debt despite the average gross debt reduction and the negative delta from the financial provisions update affected, in turn, by the expectation of a moderation in long-term interest rates. An income tax reduction of €588 million, consequence of the lower results year-on-year, whereas tax rate amounted to 29%, heavily affected by the nondeductible revenue levy. Finally, minorities decreased by €35 million. Moving to cash flow on Slide 17. FFO reached €4.7 billion in absolute terms, showing a strong improvement compared to last year, explained by the outstanding working capital dynamics. In particular, 2 things: First, the significant regulatory working capital recovery, cashing in €2 billion from the negative peak attained in the first quarter, mainly thanks to non-mainland settlements and second, a part of this effect, working capital improvement, supported by the positive impact from net trade receivables and payables, thanks to energy and commodity price normalization, even considering the €208 million payment from the extraordinary levy. All this partially offset by the increase of cash out for taxes, a consequence of the 2022 extraordinary results and by higher financial charges paid due to the worsening of interest rate environment affecting cost of debt. I will now move to debt evolution on Slide 18. Net debt came in at €10.4 billion, an improvement of 4% compared to 2022. During the period, FFO contributed positively to net debt evolution €4.7 billion, as commented before, which was more than enough to cover investment and the dividend paid last July amounted to €1.7 billion. This improvement in net debt, together with the sharp reduction in collateral requirements resulted in a sound gross debt decrease of 26%. Moreover, the cost of debt rose to 3.2% after the significant increase in euro interest rates in the first half of the year. Finally, our strong commitment on a strict financial discipline resulted into robust credit metrics at year-end. Net debt EBITDA leverage remains at healthy levels, while FFO to net debt ratio reached 45%. Regarding financial position on Slide 19. Following a quite volatile 2022, during 2023, we implemented a number of financial initiatives to strengthen our liquidity position, ensuring adequate levels to address the company’s business plan in a challenging environment. As a result, we achieved a remarkable improvement of all the financial KPIs. Available liquidity amounts to €10 billion, which boosts the debt maturity coverage up to 27 months. Corporate debt maturities profile improved after signing several long-term operations, reaching an average debt life of 4 years, which provides for a comfortable position to meet the 2024 sizable maturities. Let me now hand over to Pepe for the final conclusions.
Jose Bogas: Okay, yes, and thank you, Marco. Operational progress is reflected in our financial target, and I am on Slide #21. Following 2023 performance, severely affected by very challenging conditions, extraordinary impacts, and adverse regulatory measures, we expect to get back on the growth path. At the same time, we will provide for a clear and predictable dividend policy based on 70% payout on net ordinary income and a €1 per share floor over the next 3 years. And now in slide – in the next slide, let me conclude with closing remarks. As we have been insisting throughout this presentation, full year results have been strongly impacted by very exceptional effect, especially in the gas business, but also as a result of the regulatory measures in force, introduced to mitigate the effects of the crisis with a direct impact on our results, as is the case of the 1.2% tax or the clawback regulation. On the other hand, the implementation of managerial actions aimed at improving cash generation, were remarkably successful. Last year, we achieved an exceptional cash generation, reflecting the normalization of the dynamic that had previously penalized working capital. Regarding 2024, we are in a position to confirm the guidance since we estimate a very limited impact from the current price environment, thanks to our hedging strategy, while we expect gas and thermal generation margins to normalize as expected in guidance. Our long-term strategy remains committed to the decarbonization process. We have seen – we have been [indiscernible] in recent years. Thus we are in a privileged position to boost if the adequate conditions are met and retransition related investment. And this concludes our full year 2023 results presentation, and I think we can now open the Q&A section.
Mar Martinez: Okay. Thank you very much. Now, we will start with the Q&A session.
Operator: [Operator Instructions]
Mar Martinez: Okay. The first question comes from Alberto Gandolfi from Goldman Sachs. Please Alberto go ahead.
Alberto Gandolfi: Thank you and – good morning and thank you for taking my questions. I have three, please. The first one is actually to talk about 2024 guidance. I understand that you are largely hedged, but can you tell us what has changed in the market between mid-November and today? And what are the offsetting elements? I’m thinking about ancillary services or CCGT spreads that maybe came down, gas margins or the residual spot exposure. And do you think that this is going to be offset by, I don’t know, retail short position? So just to have a bit of a feel for it and what happens if spot gas prices were to follow more from here considering we have a very high storage levels and winter is nearly over? The second question is on ‘26 guidance. I understand from Slide 9 that you talk about 80% hedging. But can we really assume that retail tariffs are not going to go down until then? So essentially, your really fixed cost generation hedges are 55%. And I think in the same, you’re assuming a 74% base load, now the curves are below 50%. So can you maybe elaborate on the downside risk to the 2026 guidance on this basis? Last not least, can you give us a bit of an idea of the timeline and magnitude in terms of evolution of investments in power grids? It looks like Spain has a big catching up to do. In your guidance, you already assume higher returns, but I understand not really such a much higher CapEx. So can you tell us – I know we’re going to see in the second half of this year, a 10-year investment plan by the government? And what could that do to operating growth for the group? Thank you.
Jose Bogas: Okay. Thank you Alberto for the questions. Let me give the two first questions, the guidance in the year 2024 and also the guidance in the year 2026 in the sense of the evolution of the power prices to Marco. And then I will try to explain the timeline evolution in the distribution regulation. But let me say, now I think that Marco will explain more in detail that we confirm in the 2024 guidance, it is true that there are some changes between November – last November and today, but we are really – I don’t like to say and I never like to say comfortable because we’re not comfortable. We try to really struggle a lot of things. But we feel that we could confirm this. And with regard to the year 2026 guidance, let me say something. Well, you are right when you say that our price in the year 2024 in the – 2026 in the Capital Markets Day was 74%. But it’s – what we said is that we have used a little lower prices, something between 65 and 70. So that’s reduced some euros, almost €10 per megawatt hour, the reference that we have for this year. But having said that, I will go deeply in this distribution remuneration. Well, first of all, I would say that we are in very, I would say, fluid talks with the Spanish government. Indeed, let me say that out of these talks came the need to mitigate the impact of the 1.2% rate extension committed to with the government partner, Sumar, that just because of this dialogue with the government, we get this thing. The second thing that I would like to say is that the government is aware that it needs to improve the regulation so that the PNIEC, the integrated energy and climate plan complied with. Perhaps, the problem for me is timing, that what we have translated to the government is that without a clear signal in the short time, there will be delay that will not allow the 2030 target to be made. Having said that, going just to the different regulatory assumption in distribution, let me say that we are talking with the government. In terms of the financial remuneration rate, the work in distribution, we are trying to clarify this issue as soon as possible, so as not to delay, as I have said, the investment of 2024 and 2026. I should say that the CMC published the initiation of the regulated work revision for electricity networks in December 2024. For me, December 2024 is too late. However, in the latest conversation with the regulator, they saw a clear intention to propose a reasonable and efficient financial remuneration rate. So – and let me remember you that what we said in our Capital Markets Day is that we are going just to increase the distribution remuneration by €200 million in the year 2026. Just to have a reference if this work go up by 200 basis points that is just from 5.5% to 7.5%. This is exactly the €200 million. But this is not the only thing that could be changed. And it is needed there to change other parameters on top with the combination of this work and other parameters that we are talking about with the government, we will obtain or we think or we expect to obtain this €200 million on top of what we have today. So let me say, good news in the sense that we are aligned with – or the government or the regulator is aligned with us. Bad news, just because the government takes time, the regulator takes time just to do things. But they are absolutely aware that we don’t have time. We need to have signals just to clarify. Otherwise the problem – because at the end of the day, what I think is that is going to be resolved that it would – if we don’t have this clear signal, we will have a delay in the investment, and this is something that the regulator and the government are aware of. So I am slightly positive that – absolute possibility in the sense that we are going to obtain this and slightly positive in the sense of – to have this signal very fast.
Marco Palermo: Alberto, question number one , 2024. We confirm guidelines a 100%. Why so? Because as you know, we move ahead earlier on. So we have a lot of things hedged. But yes, you’re right. I mean, of course, from November something a bit changed on the market, actually a lot. And – but on 2024, what we do see is probably some slight impact on the gas. You’ve seen at Page 10 that we have covered 86% on the gas. So the unhedged volumes, of course, there could be some impact with this low price of gas. But at the very same time, the lower gas price lowers the price of power and lower price of power for us, it’s probably a positive impact on the position. So basically, all in all, that’s why we feel very comfortable with 2024. When we move to 2026 and also, I would say there, I mean, you’re right, that 74% price base load was what we were considering as a scenario. But I remember that, that was not the price that we were foreseeing for the sale to basically to our retailer, to our supply. So what we were seeing, I remember everybody, that in 2024, we still had a clawback in our business plan. And what we did is – was basically leaving those prices, those references the same also for future years. So there is not such a huge gap. When we look at the prices, you were referring to 50% or even below the 50%, that’s interesting because they are – if prices go – stay there for a long time, then when you apply the factor to correct for the solar power plants – to correct the price for the solar power plants, probably you go at the level that hardly justifies an investment on solar power plants. So I mean, it has to be seen while this is 11 that is sustainable or not. That’s why on 2026, I mean, we do feel that there’s not such a huge gap, frankly, with what we are seeing right now. And let’s see whether the situation of the market will become stable and will remain the same or will change. Thank you.
Mar Martinez: Okay. Thank you, Alberto. We move now to Peter Bisztyga from Bank of America.
Peter Bisztyga: Yes. Hi, thanks for taking my questions. So two from me really just sort of following on from Alberto’s questions. Firstly, just on that hedging on Slide 9. I’m not sure I completely understand how you calculate the 80%. So if you could just clarify that for me, that would be helpful. And the second question is, could you maybe give us an insight into how your fixed retail tariff offerings have changed over the last 3 months or so. So for new customers signing contracts today, how do those retail prices look versus, let’s say, back in November? Thank you.
Marco Palermo: Thank you, Peter. So question number one, regarding the hedging, in particular, the 80% in 2026. Basically, we have seen – you see here two numbers. The first one, the 53% is considered basically taking the B2C portfolio at 50%, okay? So I mean, just – it’s just a number. But the truth is that our – so our B2C portfolio tends to stay somehow constant. So I mean, we wanted to highlight that between the 53% and the 80%, that could be that there are many, many percentages. So probably – it’s probably more correct the 80%. Of course, the 53% is – it sticks and goes with the energy reference price of €65, €70. That is what it is fixed at that amount. Then on our portfolio, what really happens is that and then we come to question number two, basically, that the renewals or actions just to keep – to maintain your clients, then could somehow leave you – the volumes that can impact the energy reference price. And so this brings me to the point number two, whether, of course, the offering retail, I mean, it looks to the market price, but not so much at the end. I mean, a very big part of our portfolio are renewals of clients that basically doesn’t follow the price of the market. That’s why it is so difficult for us just to eventually adapt to higher prices. It takes a long time and that’s – you have seen this and also suffered in 2022. It took us a long time just to adapt to the market prices. And then also, it takes a long time also to adapt downward. Thank you. Thank you.
Mar Martinez: Okay. We have now, let me see, Manuel Palomo from Exane BNP. 
Manuel Palomo: Hello. Good morning. And thanks for taking my questions. I’m afraid that I will insist on the outlook. First of all, for the year 2026, in the year 2023, you had a €52 megawatt hour integrated margin. In the CMD in November, you were targeting around €63 megawatt hour long-term integrated margin. Do you think that the €53 is still a valid assumption when forward prices are €25 megawatt hour below your wholesale market assumptions in the CMD? And could you give us a sensitivity on €10 megawatt hour price decline? Because otherwise, I guess, someone could be tempted to look at the hydro, nuclear non-regulated renewal output but I understand that there should be a lot of offsetting factors. So that will be the first one. Second one is, to some extent, similar question, but on gas margins. Same in the CMD, you were targeting the full year ‘23 margin, which was 2.5 negative to move to €7 megawatt hour positive by ‘26. It was still a valid assumption in light of the evolution of gas prices. And final question would be on arbitrations and gas renegotiations, whether you could give us an update on that topic. Thank you very much.
Jose Bogas: Okay, thank you. And I – well, I will give you some color and then Marco will give you the figures exactly. First of all, when you talk about the 2026 outlook and then the integrated margin of €52, €53 per megawatt hour and how we are going get to obtain this having around €25 per megawatt hour lower prices, wholesale market prices in the year 2026. Well, first of all, let me say that it is – at least in my opinion, it is too early and things change very fast. Let me remind you only that at November last year, in the CMD, the prices seems reasonable. And now 3 months later, we have a complete different view for the future. So first of all, just to underline that it is too early. Second, in my opinion is that the current market price scenario is not very representative. There are many things today. The mild weather since November 2023, I would say the industrial demand has still not recovered, and we hope that this demand will recover in the future, high level of gas storage. And why not in terms of the CO2, some utility selling CO2 portfolio. So with all this, again, I would like to underline that, in my opinion, this current market price scenario is not very representative. Despite the shorter scenario, our expectation and our long-term models do not foresee such low prices in a normalized situation. What we are seeing is the gas around 30 to 35 compared with our 35 in the year 2026 in the Capital Markets Day. CO2, I’m absolutely sure that we’ll recover the level of €100 per ton. There are many mechanisms to do it. It is clear that the European Commission has pointed out that high CO2 price is necessary to encode its technological chain. And I remind you, the market stability reserve mechanism, the reduction target that has been updated to 90% in the year 2040, the complete integration of CP and emission into the European Union Emissions Trading scheme in the next years, the industrial recovery in the next 2 years that we are expecting. So all of this will give us, again, the power prices something around €65 to €70. And let me say, in our models until 2030, we foresee, first of all, a strong power price in intraday volatility, but reasonable average wholesale power prices. So that is the first thing that we have said. On the other hand, let me – in addition to this, we have hedged something higher than 50%, lower than 80%, let’s say that, at prices between €65 and €70. So we have reduced a lot our response [indiscernible] to the power prices. With regard to – let me say, I would – I don’t know – well, saying something about the gas margins. You asked me about what we think or how we are going just to go from the minus 2.5 to something around 7. Well, let me say, first of all, if you look at the historical evolution of our margins, what you could realize is that we have had something around €200 million to €300 million per year, half and half, half retail and half wholesale. That means more or less €2 to €2.5 per megawatt hour in the retail market. And we have had a little bit more volatility in the wholesale, reaching €2 per megawatt hour or something between €1 to €2 per megawatt hour. This is the normal scenario for us. If we take into account this and we expect the normalization that we are seeing now, and we expect in the year 2026, well, we could obtain something depending on the wholesale that we will trade off something around €400 million. So we are expecting around €200 million in the year 2024 and around €400 million in the year 2026. Again, I would like to say that I feel comfortable. There are a lot of things to do, but we expect this, and we are sure that we will be able to obtain again this because this is the normalized business that we have seen in the last years. And let me say, when I have said that we have sustained these prices, the average price – gas average price during the year 2019 to 2023 was €24 per megawatt hour. That is the PVB. So it is comparable even with these lower prices, and we expect a little higher. We are not confident, but we expect just to reach this figure and then the application [indiscernible].
Marco Palermo: Thank you, Pepe. Thank, Manuel. First question, short answers. €1, it’s €10 million. So €1 difference in prices on the unhedged portion is equal to €10 million. Question number two, gas margins. First of all, Pepe was correctly saying what you today read as a minus €2.5 should be read normally as a plus €2.5, okay? Starting from that, if you look at our contracts, and it leads a bit also to question number three, we have the 3 bcm totals 6, 3 bcm Henry Hub and 3 bcm basically Brent-related, okay? So the 3 bcm Henry Hub is the portion that we have somehow locked almost totally for 2026. So that’s where the margin stays. So we have visibility on this – 2026 on this side of the contract. On the other side, the 3 related to Brent are the ones that somehow are usually in price renegotiations. So there is one starting because they have price review clauses. So basically, the lowering of prices in gas, it means, of course, a lower price of the gas, but also the opportunity or possibility to lower the cost of the sourcing, okay? So that is important to keep in mind. Regarding arbitration, that is question number three, we have currently, after the Qatar, now we have an arbitration open on Nigeria, and the Nigeria contract is 1 bcm. The Nigeria contract elapsed in 2026. And on this contract, I mean, the situation is that we believe that we have a very strong case. That’s why there are – even though looking at it again after what happened, we are still – we do not see any booking of any provision there, I mean, of any amount because we believe that we have a strong case. But in parallel, we are also talking and we have an open dialogue with the suppliers and let’s see what happens. But – and this is something that should probably come to an end by, I would say, by year-end, so by the end of 2024, maximum beginning of 2025. Thank you.
Mar Martinez: Next question comes from Jose Ruiz from Barclays.
Jose Ruiz: Yes. Good morning, everyone. And thanks for taking my questions. I have three. Number one is in the islands, have you recovered everything pending? I see you’re at regulatory liabilities of €600 million. Is this a comfortable level for you? Secondly, if you can explain a little bit more the restructuring plan, you have shown the provision. What is the cost reduction that you’re expecting per year? And finally, if you can quantify the short position in EBITDA for 2023? And what are your expectations for ‘24? Thank you very much.
Jose Bogas: Okay, Jose, I would answer the first one regarding the island and Marco will answer the two next questions. Regarding the island, we have recovered. We are now in a position in which this regulated or regulatory working capital is something around €600 million to €700 which is normal. It is normal thinking about the delay between the settlements and the hour, that’s time that they use, the regulator have to get it. So we are in a normalized situation. Having said that, there are many things in the island regulation that we are discussing with the regulator and with the government that I think that we will improve in the future. Let me say that we are struggling with the pass-through of the fuel cost, which is very important for us, not only to recover, but also to recover what they – the figures that they give us, but also to improve this issue. So – but I would say that we are comfortable with this level of working – regulatory working capital in the island.
Marco Palermo: Hi Jose, so question – on number two, on restructuring costs. Basically, you have seen in the presentation that we have shown an increase on costs basically in different businesses because of basically activity and because of inflation. We don’t like the situation. That’s why we took measures and you do see our provision there. Our aim is at least to keep them constant. So, what you will see is you should expect in 2024 not to have increasing costs despite the increasing inactivity and increasing inflation. Then coming to question number three, that is related to the short position. The short position in 2023 was around €400 million, €450 million. In 2024, we do expect this number to lower by €100 million, so something around €350 million. And regarding the islands, only to remind that was question number one, that we are still somehow pending of one of the components of the cost – recovery of one of the components of the cost, there is a pure one. So, I mean let’s see what happens there, among other things, actually. Thank you.
Mar Martinez: We will move now to Gonzalo Sanchez-Bordona from UBS.
Gonzalo Sanchez-Bordona: Hi. Good morning. I appreciate taking my questions. One clarification actually and two questions. The first one is, you mentioned you are in conversation with the government regarding how to structure the tax, the 1.2% tax and how to, I guess make that deductible. So, I am just wondering if you have any visibility on timing and when we should expect any news on that front based on your conversations or your expectations. That would be the first one. And then two questions, one on M&A. It’s been now in the press that you have been looking for partners or minority investors in our portfolio or some portfolios of renewable assets. I was wondering if you could provide some indication on your status of that, calendar expectations. And the final one on the nuclear fleet, I understand that the shutdown of the nuclear fleet will formally – or the process will start at the end of this year or towards the end of this year. So, I just wanted to get your views on whether you still think that the change might happen in the calendar or whether this is something that you are in talks with the government on or it’s basically we should – calendar as it is and assume that. Thank you.
Jose Bogas: Thank you for the question. I will answer the first one and the third one, and Marco will answer the second one. Well, as I have said, we have a fleet conversation with the government. But I can give you more color in this mitigation of the 1.2% tax is something that in principle is we should see in the state budget. It seems, let me say, we have to give you some color, but I really don’t know now – up to now. What it is very clear when the government has decided just to spin off part of CMC, one of the reasons of this spin-off is just to focus the new commissions in the energy sector, but mainly not only for being the watchdog of the regulation as it is today, but someone that try to really get the decarbonization in the future. To do that, it is clear and the government and the regulator is aware that it is needed to incentivize many things. And this 1.2% tax, well, you know, perfect that we are against this tax. But in any case, what they have seen is, okay, if you invest in this decarbonization, we will mitigate the impact of the 1.2%. So, we will see. And in terms of the nuclear fleet, well, nothing new about this item. You are right, the first shutdown would be in the year 2027. It will be the first group of Almaraz. And many times, I have said that intellectually and against this close of the nuclear intellectually. But what we have signed, what we have today and what is expected to happen at least in the near future, that means Almaraz is the fulfill of these dates in the shutdown.
Marco Palermo: Thank you, Pepe. Hi Gonzalo, so on question number two, the minority investor calendar, the calendar to transaction, you should expect probably to see something by the first half of 2024. We are now in the, I would say, the binding phase of the discussion. And so I mean, we expect something to happen by half of the year. Thank you.
Mar Martinez: Okay. We will move now to Javier Suarez from Mediobanca. Please, Javier, go ahead.
Javier Suarez: Hi. Good morning. Many thanks for taking my question. I have two or three follow-ups. The first one is on the regulation and the regulation on the network business. The indication is that by December 2024, the regulation may issue a document. So, can you elaborate on your latest expectations on what we may have in December 2024? Do you think that, that is going to be a public consultation document and the market is going to have elements to evaluate the increase in the allowed return on RAB is going to be visible for the market? And if you see that as a consequence of changes of the CNMC transforming CNE, do you think that, that calendar may be anticipated? Because obviously, there is a sense of urgency in the necessity to expanding energy networks to complete the energy transition. That would be question – the first question. The second question is on the decrease in electricity demand. So, it is not just the industrial demand that is going down. It’s also the residential demand that is going down as well. So, can you elaborate on the impact for the company of the development of new energy communities and the implication that this may have for your strategy going forward? And the third and final question is, I think that the management made a comment on significant that the profitability to develop renewable energy at current prices is questionable, to say the least. So, which is a managerial implication of current very low electricity prices for a company like Endesa? If prices continue to be very low, should the company consider in reducing CapEx into renewable energies and to increase that CapEx into the network business? Many thanks.
Jose Bogas: Hi Javier, let me give you some color, and then Marco will explain a little more in detail. With regard to the first question, that is the distribution and if there is going to be a public consultation, yes, we will have a public consultation. As I have said many times, the distribution, the networks are the backbone of the electricity sector. The grid, therefore, is key to achieve the energy transition target. It’s the deal with the demand growth, with the renewable development, with the electric vehicle, which are important, etcetera. Again, the – in my opinion, the Spanish Government and the regulator is aware that the current regulation of the grid in Spain suffers from many weaknesses. And not only that is not encouraged the development, but it prevents it, in my opinion. And it is needed to provide a proper investment signal. That is clear for me. The regulator and the government is aware of this. And they should do many things. One of them is the new financial remuneration rate. We need visibility, predictability and a reasonable new financial remuneration rate. We will have this, for sure, that we will have this in the future. As I have said previously, the problem is timing and what we are talking with the regulator is to, as soon as possible, to have this because otherwise could be a delay in the investment in the year 2024 and 2025. As I have said, there are many other things. One of them is the lift of the current cap on investment. You know that based on the energy – integrated energy and climate plan transition plan, we need to double the investment in the grid. We need to resolve some problems, what are the full recognition of a proof executed and audited investment that we have been having some problems with the CNMC. We need to – and we are talking about it, to consider the inflation or to integrate the inflation, the comp [ph] of the inflation in the OpEx remuneration because just in the past with very low inflation, well, we could really go ahead with the situation. But now with this scenario with high inflation, it is needed to review that. It is needed to review the quality of losses, etcetera. So, we are in an ongoing conversation with the regulator and with the government. I am very sure that we are going to resolve all of this problem. The problem is time, the time, that is what we are translating to the government. We need a clear signal as soon as possible. When you see the decrease in electricity demand, it is industrial mainly. It is not residential. What had happened with residential is that the self-consumption, we have had a peak – skyrocket, if you want in the year 2022, yes, because of the very high prices. But now in the year 2023, we have seen a decrease in this self-consumption. And that is the amount, something around 3% of the demand today. So, if you take into account the correction, yes, because of the weather and also, the mild weather that we have had, and also this self-consumption, the good news is that the residential consumption is increasing. Marco, could you explain?
Marco Palermo: Hi Javier. So, something on question number two and then on question number three. On question number two, you were saying electricity demand. Actually Pepe has said correctly, the residential is impacted by the self-consumption, but we do see not so strong in the future because there is basically – there are no economics for that. And – but the real problem there is the industrial demand. And the real problem is there, and it comes to question number one, not because there is no one that wants to link to the grid and starting new data centers or business and blah, blah, blah, is that there is not enough power of connection on the grid just to sustain this increase in demand. So, I mean we go back to the urgency of question number one, and that is probably what will then unlock the growth, the demand. Coming to question number three, reducing CapEx in renewable, I mean our strategy has always been trying to prepare for the shutting down of the nuclear. So, basically building, replacing our capacity with renewable capacity, and that’s what we have been doing for the last few years. Of course, the pace of this substitution depends, first of all, on one side, depending on the calendar of the nuclear, but on the other side, also trying to navigating the moments of the market. So – and we have different levers that we can use. It’s building our own power plant, it’s signing a long-term PPA, or is actually staying short and taking the chance of low power prices on the market. So, we tend to use the three levers in order to somehow optimize the result. So, currently, yes, we will probably take – we will slow the pace on the CapEx spending because we do see an opportunity at least now in the short-term on the short position for the future, I mean let’s see. Thank you.
Mar Martinez: And we will move now to Pedro Alves from CaixaBank.
Pedro Alves: Hi. Good morning. Thank you for taking my question and sorry to come back to the outlook for 2026. And so you said that forward prices right now, not very far from your business plan assumptions, which we understood it is below the €74 per megawatt hour. But where they are today and considering the benefits that you mentioned on the short position, do you think that you are today in a position to guide at least in the low end of the €5.6 billion to €5.9 billion EBITDA guidance for 2026. I am asking this because consensus is already quite below the €5.6 billion. I was wondering if you can provide us some comfort on this issue. And then the second one is just a clarification. I am not sure if you mentioned the integrated free power margin if you are – if it is still valid the target of the CNE for 2026. And the last question on the timing for the signals on the improvement in the remuneration framework for distribution. So, you said you are clearly positive that it will be a revision and that you are slightly positive that the signals will be very fast. I was wondering if you can – if your base case expectation is that you will have visibility well before December or it’s really the base case to have visibility only in this segment. Thank you very much.
Jose Bogas: Hi Pedro. I will try to answer the last question. Well, we – I think that up to December – November, December of 2025, we are not going to have the final result of the regulation of the distribution. That is clear for me. So, what we are looking for is just to get a commitment of the regulator and to give some kind of signal and compromise for the future. Taking into account that the investment that we do in the year 2024 and 2026, 2025 – 2024 and 2025 will be paid in the year 2026 and 2027. So, I am slightly positive just because the regulator is aware about this situation. Being clear that all the things of the signal that we have today is that they are going to resolve this, trying to support the energy transition plan. Then the problem is if we are – if we don’t have the right signals, we will stop investing and we will delay that, for me, it’s not a question of yes or no, we will have the adequate and reasonable framework just to go ahead with the investment in distribution. But if we don’t have the correct signal, compromise, commitment, etcetera, very soon, it is possible this delay. And I think that the regulator is aware of that, and we will find a solution earlier than December, November of 2025, which is the date in which we will have the proposal – the last proposal.
Marco Palermo: Hi Pedro. So, on question number one, regarding guidelines and outlook 2026, I mean with the premise that as we stated during this call, we do not see this situation to continue forever. So, we do not see the situation of prices are sustainable, and we do not see this because we do not see how the transition can happen with a very low price of CO2, okay. So, we do see something there happening. But having said so, keeping this aside and looking at what we have today, I mean that’s the reason why in the guidelines we give ranges. We give ranges because, actually, things can somehow move and that’s why we give guidelines. I don’t know if I answered your question. Thank you.
Mar Martinez: Okay. Thank you. Now, we have just one question received via e-mail. It comes from Philippe Ourpatian from ODDO and he is asking if we are still considering to sign some solar PPA as the one we signed with Solaria Energia?
Marco Palermo: Thank you for the question. I mean on PPA, it’s actually if it was somehow difficult before to sign them. Now, I would say this is clearly a buyers’ market, so it’s not a seller of PPA, it’s a buyer market. And I guess that the prices for PPAs right now, it’s very difficult to find something – someone somehow agreeing to the competitive price that we have in mind. We guess that with these prices, I mean it becomes very difficult to just then to justify an investment in solar. So, I mean we are trying to, but not much at the level of prices we are interested.
Mar Martinez: Okay. And this was the very last question of the conference call. Just remind you that IR team is always available to tackle any further questions you may have. Thank you for participating. Have a nice day.